Operator: Thank you for standing by. And welcome to the Superior Plus 2021 Third Quarter Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentations, there will be a question-and-answer session. [Operator Instructions]  I would now like to turn the conference over to your host, Mr. Rob Dorran, Vice President of Investor Relations and Treasurer. Sir, please begin.
Rob Dorran: Thank you, Valerie. Good morning, everyone. And welcome to Superior Plus’s conference call and webcast to review our 2021 third quarter results. Our speakers on the call today will be Luc Desjardins, President and CEO; Beth Summers, Executive VP and CFO and Darren Hribar, Senior VP and Chief Legal Officer. Today's call is being webcast, and we encourage listeners to follow along with the supporting presentation, which is also available on our website. For this morning's call, Luc and Beth will begin with their prepared remarks, and then we will open up the call for questions. Before I turn the call to Luc, I'd like to remind you that some of the comments made today may be forward-looking in nature and are based on Superior's current expectations, estimates, judgments, projections and risk. Further, some of the information provided refers to non-GAAP measures. Please refer to Superior's third quarter MD&A posted on SEDAR and Superior's website yesterday for further details on forward-looking information and non-GAAP measures. I would encourage listeners to review the MD&A as it includes more detail on the financial information for the third quarter as we won't be going over each financial metric on today's call. This will allow us to move more quickly into the question-and-answer period.  I'll now turn the call over to Luc.
Luc Desjardins: Thank you, Rob. And good morning everyone. Thanks for joining the call. I hope everyone is staying safe and healthy. I’d like to start the call by taking our entire Superior Plus team. Proud of our team's commitment to safety reliability, we continue to provide essential tools and services for our customers, whether our employees who are up in the field working remotely.  We’re making good progress and their Superior way forward growth plans for acquisition, continuous improvement in organic growth. In the past 12 months, we've announced and complete $625 million propane acquisition, including the acquisition of Kamps Propane in 2021, we have announced or completed approximately $600 million of acquisition which is over 30% of our $1.9 billion target set for Superior Way Forward acquisition initiative. So we're well in our way to achieve our acquisition targets to 2026.  We have a proven track record of executing on their synergy targets for acquisition. And we target 25% improvement and the EBITDA of businesses we are acquiring by optimizing the operations, driving the Superior Way operating platform and leveraging our larger scale as we are reducing redundant operating and back office functions.  And on September 23, we've announced that we received a request for additional information from the FTC related to our proposed acquisition of the company that makes up Kamps Propane in California. We must provide this additional information to the authorities before we're able to close a transaction. In the current environment U.S. regulatory authorities are taking more time reviewing more information on energy related transaction before making decisions, which is pushing out the timing of the deal. Due to this continue review we anticipate closing of Kamps will incur in the first quarter of 2022.  We still expect to finish within our adjusted EBITDA guidance range of $390 million to $420 million in 2021 even though the closing of Kamps has been delayed, which demonstrates the resilience of our business and the positive impact of the efficiency improvement and certain marketing initiative taking a part of our Superior Way Forward plan.  On the financial and operating results our third quarter results were modestly higher than the prior year, driven by improved sales volume and average margin as well as a decrease in corporate costs. The increase in sales volume and margin were offset in part by higher operating costs particularly in the U.S. due to the recent acquisition. The third quarter is seasonally lowest quarter due to the lack of heating demand in many of our regions. As a result, the increased operating costs from acquisition recently completed more than offset the increase in gross profit.  So the bottom line is you end up with the full time, but you have less volume in those quarter 2 and 3. So therefore more difficult to have profit which comes in quarter 4, as well as quarter 1 of every year. For reference to the third quarter adjusted EBITDA of $13 million represents approximately 3% of our annual adjusted EBITDA based on the midpoint of our 2021 guidance. And the third quarter U.S. propane results increased compared to the prior year quarter primarily due to higher incremental operating expense related to acquisition partially offset by higher average margin and higher sales volume related to incremental contribution from acquisition. U.S. propane EBITDA from operation in 2021 is anticipate to be higher than 2020 currently due to the impact of acquisition completed in 2020, and then 2021. Benefits from the Superior way and seasonal workforce optimization Initiative and realized synergies from acquisition.  Canada propane results for the third quarter were modestly lower than the prior year quarter, primarily due to the decrease in benefits from the CEWS, partially offset by an increase in average margin and volume. We're seeing modest improvement in commercial and wholesale volume in our Canadian propane distribution business as COVID-19 restriction continue to be lifted.  Canadian propane EBITDA from operation 2021 anticipate to be lower than 2020, primarily due to the decrease in average unit margin as well as reduction and the CEWS benefit. We're optimistic more than COVID-19 restriction will be lifted in the fourth quarter and for the coming 2022 year, allowing our commercial customers to operate at a higher capacity which is expected to increase propane demand when COVID is more behind us.  I'll now turn the call over to Beth to discuss the financial results in more detail.
Beth Summers: Thank you, Luc. And good morning everyone. Superior generated third quarter adjusted EBITDA of $13 million, a$ 2.2 million or 20% increase over the prior year quarter primarily due to lower corporate costs partially offset by lower EBITDA from operations in U.S. propane.  The third quarter net loss from continuing operations was $35.9 million, compared to a net loss of $26.1 million in the prior year quarter. The primary driver for the higher net loss was the increase in selling, distribution and administrative costs and a decrease in gains on derivatives, partially offset by the increase in gross profit and decrease in finance expenses.  Our consolidated AOCF before transaction and other costs for the third quarter was negative $4.8 million, a $7.9 million increase compared to the prior year quarter primarily due to lower interest expense, higher adjusted EBITDA and lower cash back.  Turning now in the individual business results. U.S. propane EBITDA from operations was negative $7.8 million, a decrease of $3.8 million from the prior year quarter, primarily due to higher operating costs partially offset by higher sales volumes and higher average margin.  Residential and wholesale sales volume were consistent with the prior year quarter primarily due to acquisitions offset by the impact of warmer weather. Average weather as measured by degree days across markets where U.S. propane operates with 70% warmer than the prior year quarter. Commercial sales volumes were 13% higher compared to the prior year quarter, primarily due to incremental volumes from acquisition and the easing of COVID-19 restrictions.  Margins were $0.379 per liter, which is 4% higher than the prior year quarter. This is primarily due to our continued focus on growth of high margin propane customers partially offset by the impact of the stronger Canadian dollar on the translation of the U.S. denominated gross profit and customer mix. Operating costs increased by 20% compared to the prior year quarter due to acquisitions, partially offset by workforce optimization initiatives, realized synergies and the impact of the stronger Canadian dollars on us denominated expenses.  Canadian protein EBITDA up from operations of 21 point 2 million was consistent with the prior year quarter as higher sales volumes at higher average margins were offset by higher operating costs. Residential sales volumes were consistent with the prior year quarter, and the impact of acquisitions completed during the first quarter was offset by warmer weather. The average weather across Canada for the third quarter as measured by degree days, which 15% warmer than the prior year.  Commercial sales volumes were also consistent with the prior year quarter as increased demand from the oilfield and remote camp businesses were offset by declines in some other segments, such as reseller or agent demand relating to the easing of COVID-19 restrictions. Wholesale propane volumes were 7% higher compared to the prior year quarter due to increased demand in the California market related to the easing of COVID-19 restriction and to a lesser extent, sales and marketing efforts to increase third-party spot price wholesale propane sales.  Average margins were 9% higher than the prior year quarter due to the timing of carbon offset credit sales and the impact of weaker wholesale propane market fundamentals in the prior year quarter. Operating costs increased by 90% compared to the prior year quarter, due to the impact from the CEWS benefits. And in the prior year, the CEWS benefit was higher is a significant impact on customer demand and the early stages of the pandemic.  Lastly, the corporate results the adjusted EBITDA guidance as well as leverage. The corporate operating costs were $1 million. This was a decrease of $6.1 million compared to the $7.1 million in the prior year quarter. This was primarily due to lower long-term incentive plan costs related to share price declines in the current quarter. Interest costs decreased 21% compared to the prior year quarter, due to lower average debt levels and lower average interest rates. Superior’s total net debt to adjusted EBITDA leverage ratio for the trailing 12 months ended September 30, 2021 was 3.5 times, which is at the higher end of Superior’s long-term range target of 3 to 3.5 times. We're confirming our 2021 adjusted EBITDA guidance range of $390 million to $420 million with the midpoint of $405 million, even though we had previously expected Kamps would contribute to the business in 2021. For the remainder of 2021, we anticipate average weather to be consistent with the 5-year average for the U.S. and Canada and wholesale propane fundamentals to be consistent with the first 9 months.  With that, I'll turn the call over to Q&A.
Operator: Thanks. [Operator Instructions] Our first question comes from David Newman of Desjardins. Your line is open 
David Newman : Good morning, folks.
Luc Desjardins: Good morning. 
David Newman : You can hear me okay?
Luc Desjardins: Yes sir. Very good. 
David Newman : I just looking at Kamps here. I understand, the FTC has one request. But maybe just the nature of the second request here. And if we're modeling this up, I mean, obviously Kamps is going to be kind of in the wheelhouse of the winter. Should we be modeling in mid-quarter end of quarter, beginning of quarter? Because obviously it'll have an impact on 1Q.
Luc Desjardins: Absolutely. I think we'll start with Darren Hribar on the FTC. Darren is our Chief Legal Officer here. And he's in the weeds of that on a daily basis. So, thanks. 
Darren Hribar : Yeah. I think as we announced previously, we received the second request on September 23. So since that time, we've been working cooperatively with the FTC and Kamps as well as they conduct a review of the transaction. And as we worked through that, there's a fair amount of data that we have to provide. They determine what the custodians are and we worked through that process. I think that's where we sort of find ourselves thinking that.  Look, by the time we get all of that material submitted the second request is going to take us -- into closing sometime in the first quarter.
David Newman : And if I modeling this up, any sense of what we should be thinking about where do we place the close?
Luc Desjardins: Hard to predict. I would say -- maybe I'll explain first what's happening and a bit more color that our market position in California has -- even with Kamps very low and retail question from the FTC are non-existent but doesn't have much. So --
David Newman : Yeah. Because you're not bumping up against any market share here, no Herfindahl or whatever they use for their index. I mean, clearly your market share is not -- you're not dominating or had the concentration in that market, right Luc?
Luc Desjardins: No, I think what's happening is the received order from Washington that everything goes well, and guys should review the second request. The retail is pretty clean venue, not much going there with a lot of competition, and we're not being shared at all.  I think the wholesale is more complex for them to understand, there are deals, that are supplier aware, and that's it. It is complex. And there's a lot of suppliers, and it comes from Canada or their wholesalers. And I think that all areas where they're drilling down more to understand it. I guess they're preparing themselves for all future acquisition, this propane oil.  So not to worry too much about what's going on the overall because we know the numbers are all good enough to just have growth. But it's something now that we have to do. And to your timing, and our last -- Beth if you share the better view of the timing, or guidance. 
Beth Summers: Yeah. I mean, I wouldn't say I have a better view of the timing and to be consistent. But it's always hard to anticipate, from a regulatory perspective, what the timing will be. What I would say is maybe to be conservative, assume it towards the end of the quarter or at the end of the quarter. And to give you a bit of a sense, probably the way to think about it is Q1 would likely generate in the range of $15 million or 15, 1-5.
David Newman : Got it. Okay, very good. And switching gears over to the environment, which is absolutely crazy. I think the propane prices are the highest since 2014. If I look at it -- and just kind of wondering a couple things. Obviously exports going out of the country, I know that you guys contract your supply in the spring. And does that get you through the winter? And much wiggle room you have on rack plus? In other words, we believe the taxi price up in this kind of market. And just the speed at which you can get that through. Maybe just the dynamics of the market right now.
Luc Desjardins: I’ll take the first part that has to do with our market. And Beth can take the second part as to how we are positioned for the winter for supply. So for us, when I look at our segment and customers, it's a pass through. So we expect to be paid for inflation, and we expect to be paid and we will be paying for added value service. So the margins are going to be as good as ever on what we sell. And then come a wholesale, and then from a supply Beth can explain what's happening there.
Beth Summers: Yeah. So to talk about just the general market fundamentals. So in the U.S., I think, starting to drive some of that higher pricing is first off, it does tend to be late to overall commodity prices in particular crude. So is crude has been increasing over the last three quarters we've also seen propane increasing a fair bit so consistent with the overall market.  And actually, you see somewhat a bit of a return to normal as a percentage of crude where for a period of time it was down around 50% 55% whereas creeping up back to that 70%, which is probably more of a historic percentage of crude-type prices. But fundamentally part of the drivers from a supply perspective, the U.S. inventories are low. But if you look at it, where in the U.S., where they're low differs.  So they tend to be quite low from the 3-year average, when you're looking in the Gulf Coast, which is where exports are occurring. When you look to the markets where we're in so if you think about the northeast, actually inventory levels are okay. And if it’s into production there is a lot of production and production is higher. If you look at it somewhat on a year-over-year basis, it is linked to the exports driving it. And that does have an influence on the overall pricing.  Now Canada is a little bit of a different story. The increase in Canada is getting linked to that overall commodity increasing. But from an inventory perspective it's actually quite healthy, a little lower than it was than last year or below last year, but it is higher than the 3 year average for inventory levels. And it does tend to East inventory levels are higher than we would have seen in previous years, which I suspect are just people mitigating some of that risk from line 5. So you can see some higher there so the supply is sitting where we need it.  From our perspective, getting back to your question around the contract years, you're correct. Your contracting year is from April to the end of March. And we're comfortable, we have all of our contracts in place and we have all the supply that we require, contracted through the years. So we're comfortable that we have what we need. And that we'll be able to get it when we need it. So that security supply for our customers.
David Newman : Excellent. And looks like Washington might not be so quick to back Michigan on this line 5 dispute which is good to see. So I'll hand over the line now. Thank you very much. 
Beth Summers: Thank you.
Operator: Thank you. Our next question comes from Ben Isaacson of Scotiabank. Your line is open.
Ben Isaacson : Thank you. And good morning, everybody. Luc and Beth, just three non-operational questions. First, I believe you met with MNB [ph] recently, can you just highlight how that went and whether there was anything interesting to pass on?
Luc Desjardins: Yeah. They came to visit this week. So we've had a good session to talk about what we have in the public markets on our 5 year plan and on acquisition, that's 25% improvement on 18 deals we've done. And we're extremely impressed and excited. And they did -- they met the management. Every one of I direct report and a few additional people during the afternoon.  There they walked away saying wow, the transparency, the openness, the clarification of where we're at, first time we met in person. They were really, really, really impressed. And their position is to be a good anchor investor and to raise their arm now and not to have any glade to go further than their position around being an anchor investor. That's their position. That's what they're convinced us. They want to do.  So good relation as we grow, they tend to be there and they anticipate. And they like the business. They like their management. They like our market position. And what we're able to accomplish in the last few years, I would say extremely impressed.  They have one big core business is sold the rest. And what they're doing now they're investing -- diversifying their family money into taking a position in different companies like they did to us. 
Ben Isaacson : So Luc, just to reiterate, was there any discussion about a board seat or seats? And I just want to make sure I understand clearly, they do not intend to go above 99, is that right?
Luc Desjardins: Yeah. The board seat wasn’t discussed at this stage, they want come later. But it certainly wasn't discussed. From a position being an anchor investor, they certainly don't intend to take a majority position in the company. I don’t know, Darren, if there's anything else, you'd be more precise on that?
Darren Hribar : Yeah. I think just alluding to like under securities law, and under our SRP, they wouldn't be able to go beyond 5%. And so, I think their actions have been completely consistent with that. And that of staying a supportive anchor investor.
Ben Isaacson : Great, thanks. My second question is back to Kamps. I know that the FTC review is focused on wholesale, and I believe FTC doesn't look at deals under $100 million. So with that context, can you talk about whether this review has changed or evolved your strategy in terms of what you do in the future from a consolidation viewpoint?
Luc Desjardins: No. As you know, this deal is over $200 million. So it was a deal they had to review. I personally think and then you ask the question, I don't think we'll have any issue buying retail business propane in the states in the years to come. We're positioned market share, it's 70% independent. Our position is good, good, good.  If we do deals that are smaller than 100, we don't even have to go to them but over that we do and we will. And I think today what we've learned is we expect what we do deal go to more than -- they'll do a lot of deep search like they’re doing now to make sure that the oil and gas remain competitive. There is long way to go before, I think we have real issues. Wholesale, like I said earlier, it is complex. And when you think of who supplies what where? Kamps supplies the 14 different states, and they don't have a big position in those 13 of the 14 states. In California, not even that much. So you kind of had a good feeling that well, this should pass the threshold that they have to review businesses.  So no. I think -- the message I think I'd like everybody to leave with is we’re going to do a lot of retail acquisition and then expect that we're not going to close the deals we’re going to make. 
Ben Isaacson : Thank you. And just my final question, we've talked in the past about customer churn in this environment of high propane prices. And just wondering if you have any new data points or color on the rate of that churn? Have you seen customers switching out or switching in to Superior at a higher rate recently than in the past?
Luc Desjardins: Yeah. They certainly don't switch during the winter time. The history which show they’re more recurring when price goes up. I kind of feel, personally that’s a failure in our experience, where I'm sitting at with the work we do with the businesses. I don't think it’ll be as big as other years that the price went up, for a couple of reasons. There will be less switching due to COVID or what. And I think most importantly, everything's going up like crazy. And if you think of commercial and industrial customers, they get it.  When you take a residential customers, it was time to look at, my -- price of my penny went up $1,000 to $2,000 or more like other supplier. But then they go today, build up their car, and they're aware of the price being so high everywhere. So I think that like, would there be a less pressure occur. But we do know that churn happens more, we get more new customer and we lose more customer. So there's a cost issue in and out of that, not ideal.  But I don't know without the price, residential usually are that so aware of why they’re charging me so like? I think they are today, because they go to the bank or their pharmacy? That's like a -- and they’re everywhere that use pay for his radio, every small town, everybody talks about that. So hopefully that doesn't create the type of turning that surety when the price are very hard, as we've seen. But there's a cost to in and out. But at the end, we'll probably end up at the same place because other competitors are in the same position.  I think, Beth anything you would add to that?
Beth Summers: No. I think, it's one link where I reiterating everything you said it. Fundamentally, we'll have a better sense if what the impacts potentially would be once you get out of the winter months. So it would be more of an April-May, I think we would have a better sense. But that being said, the reality is they still need the propane. For those that just aren't doing it because the sticker shock, they're going to change from one to another. So we'll be picking up as well depending on those attrition levels.  So I think net-net for the business we're comfortable from a volume perspective. But as Luc said, it could have some impact on margins just because your new customers' margin is different with introductory pricing et cetera than a retail customer.
Ben Isaacson : That makes sense. Okay, great. Thanks so much, guys.
Operator: Thank you. Our next question comes from Joel Jackson of BMO Capital Markets. Your line is open.
Joel Jackson: Hi, good morning, everyone. A few questions. I'll go one at a time. Just first on the 2021 bridge, to be able to hold the midpoint of the guidance excuse me, despite Kamps pushing out into early next year. Can we talk about and please elaborate on what the offsets were in terms of better fundamentals CEWS benefits better volume than you thought that was able to offset the $10 million? Thanks.
Luc Desjardins: Yeah. I’ll add a few color and Beth will add to complete the answer for you. We're certainly getting good retail, consumer, residential growth in Canada. Our marketing and sales are humming well our digital approach in connection with customers. And our brand that's known when people look at propane Superior gets a lot of calls. They get 6,000 a year.  So we're humming in that regard. We've been very careful on costs, as we've always been. And we've seen some cost reduction and improvement for overall company. We're certainly expect to make the same margin, and we charge for inflation is there more than the fact. But we've covered inflation with pricing, and don’t want to lose any benefit from pricing from the service we rendered to customer.  You're getting and I'm sure you all get it on the call that quarter 2 and quarter 3 with our acquisition, we may went up with way more costs, to the 20% and 5% of the sales, so not great. But then you get to quarter 4, quarter one, and you have all the sales coming. So you're rebalancing properly the profitability over a year.  So I don’t know, there might be additional points Beth that you can see.
Beth Summers: Well, I would say one way of thinking about it is part of it is from where our expectations were. Q3 was an over performance. So that would have been above where you’re originally expected it to be.  I think from a pricing perspective, they were quite high, when it comes to the carbon credits. Again, that's in your range of sort of $2 million to $5 million, but that being said that pricing was higher. So there's a bit of a pickup there. From an LTIP perspective, that would be a little different. And then, the reality of wage subsidy potentially a little higher than we might have originally expected.  So when you look at that over performance, and the reasons that Luc’s alluding to, we had roughly that $8 million to $10 million range we're expecting from Kamps this year. When you look at all the various pieces, we're still comfortable that will be in line now with the guidance of that 490 to 520, or 390. That would be really good Q4.
Joel Jackson: Okay. And then, so we looked at 2022 with kind of bridge what we could see in 2020. A lot of moving parts, obviously. I guess I'll get some more recovery in volumes. Hopefully, you'll have the Kamps deal done early part of the year don't zapping when you have maybe some other tuck ins you might do. You won't get maybe the same level of CEWS benefits, hopefully for society go down to COVID. Can you walk us through what 2022 could look like, kind of bridges the different components?
Luc Desjardins: So the backlog for acquisition continue to be very strong. That's one thing. It would be -- I would be conservative on Kamps, because we don't control the fact dates, I would say too bad. We're missing. January, February, or parts of the quarter one goes away.  The CEWS from the government of course, is gone. And then you have the return of COVID and commercial industrial and Canada not fully returning. The government vendors goes faster away then the return after COVID. We still own those customers, those tanks, and the volume of commercial vessel is not what it was prior to COVID. And I don't think it will come back until 2023. So big picture. Those are, I would say my bullet points that I would mention. And pass it to Beth for additional.
Beth Summers: Yeah. I think you've covered all of the key areas that’ll be impacting us in 2022. From an actual guidance perspective we’ll issued guidance for 2022 when we issue our Q4 results, which should be consistent with what we've been doing in the past.
Joel Jackson: And just on this my last question, and also relates back to a question that's been asked a little bit earlier. So you think your pipeline for tuck-ins and acquisitions remains the same despite some of the stuff currently in FTC. Now, does this mean though, that you need to budget now for longer approval periods so you're tuck in program has a bit of a delay, I guess right now. Because you have to assume that the tucking will take longer to get approval, if that makes any sense. What I'm saying? 
Luc Desjardins: Yeah, that's a good question. But, we've talked we would do $1.9 billion by 2026. Well, we did -- done a third of that. So what's happening right now for multitude of reasons from entrepreneur independent that are in the propane industry, will -- the average we thought we do 250-300 a year. It's more than that this year, like double than that. So I think we'll do more than that next year too.  But as you know, we don't put that in our guidance, when that becoming to what size of EBITDA. And then the synergy comes a year after. So we're not prepared to put any acquisition in the forecast because we don't want to mislead the market, and then find out that it takes more time or a deal is too many small, mid-sized or I don’t know larger sizes.  So net-net, I think we're going to do maybe not as much as this year, but more than the average of 250-300. In 2022, I think we’re going to be above that.
Darren Hribar : Yeah. The only other thing I think I'd add Luc, is that, I think in terms of timing on future transactions. I think with Kamps, it's a bit of a unique situation with a wholesale business and at different position. Most of the retail acquisitions that we've done our pure retail and highly fragmented markets where you've got similar to California, very little overlap and then even weather there's a significant number of competitors. In some of those places, it's 12-13 competitors.  So I don't think that you're going to see that. And then there's just the fact that when you're looking at these tuck in acquisitions, they have to go over the threshold of $90 million, or whatever it is in the U.S. So there's not a significant portion of those that are at that level.  So I don't think it's going to change how we look at that. But certainly for something like Kamps, it is going to cause us a little bit of delay.
Luc Desjardins: Good point. 
Joel Jackson: Thank you very much.
Operator: Thank you. I'm showing no further questions at this time. I like to turn the call back over to Luc Desjardins, President, CEO for any closing remarks.
Luc Desjardins: Okay. So I'd like to take our management and employees. Very proud of all of our accomplishments to date in 2021. The action and continuous improvement are there in the COVID, now we adjust to that. It was quite extraordinary. So the customer service and customer gains are good. And then it’s a small quarter, feel very good that we’re in a great position.  I think the quarter shows those trend and the momentum that we have. And it's really we need to take those things they added up Kamps in the winter time of this fourth quarter. And we're talking about guidance demand. We’re satisfy and we’re going to continue to improve our company at any level. So small quarter, but a good trend and a good direction where we’re on.  So thank you everyone to participate in our call. 
Operator: Thank you. Ladies and gentlemen this does conclude today’s conference. Thank you all for participating. You may now disconnect. Have a great day.